René Goehrum: Hello, and welcome to the BioSyent Inc. Q1 2022 results presentation. My name is René Goehrum, and I'm the President and CEO of the Company. I want to draw your attention to our disclaimer on forward-looking statements and let’s jump into the presentation with a look at our sales, EBITDA and net income after tax. So this slide shows you first quarter ending March 31 of 2022 and compares it to 2021 and 2020, so a few things I’d like to point out. Our sales were down 5% from the year ago quarter, but flat when comparing only to continued operations. So you'll recall that we announced mid midway through the year last year that we would be rationalizing our product portfolio and discontinuing certain products. We have taken out that step and now those discontinued products no longer represent any revenue for us effective January 1 of this year. So this is our first look at a comparable quarter with discontinued operations. So if we look at our revenue on continued operations, revenue was flat and a couple more comments there. So if we drill into our performance overall Canadian pharma was up 1% on dollars, our international pharma was down 50% and our legacy business up 233%. So if we just compare the Canadian business to those continuing products, our sales were up 8%, excluding the discontinued. Overall this represented our 47th consecutive profitable quarter at $1.588 million of net income after tax. Also down 5% similarly to the revenue number and our EBITDA was just over $2.2 million. And just wanted to remind you about our international sales in the year ago period, and we will talk about that we had a large individual shipment that went to one customer the beginning of Q1 last year, and that's also to be taken into account. So how did this revenue and net income flow through into our earnings per share? You see that for the first quarter of 2022, our EPS was $0.13. This compare favorably, or at least was equal to the year ago quarter of $0.13. And despite the fact that we had that significant difference in our international sales contribution. So on a TTM basis; trailing 12 months, we earned $0.49 a share up significantly from $0.31 in the comparable period ending March 31 of 2021. So let's dive in a little bit deeper into the sales summary. So you'll see our Canadian Pharma business did a little over $6.3 million in sales. As I said before, that was up 1% and up 8% for continuing products only. FeraMAX had growth of 4% in units RepaGyn of 16% and Tibella 66% and Tibella is a long stage product. The year ago period represented our first Q1 revenue. By that time, we were in the market for about five months at the start of that quarter. So this represents solid growth on the Tibella business, and we should expect to see double digit growth in Tibella as we as we move forward. You see that Combogesic units were down 5%. The thing to consider there in terms of comparison is that Combogesic was essentially in its first quarter of launch activity promotional launch activity in the year ago quarter. And also we were trade loading and loading pharmacies as well through January to the end of April last year. So it's not quite a like-to-like comparison. That's something to keep in mind when you're looking at performance versus year ago. You can see our Cathejell units were up 3%. We've removed Aguettant system and Cysview from the calculation. We had no sales in the first quarter for either of those products. Those are the products that we've just discontinued. The large FeraMAX export sale that we had in Q1 last year was $1.1 million. So this year’s performance on international pharma was essentially half of that, came from multiple customer shipments. And I think we should look to that business performing kind of at or above what we what we saw in total for a full fiscal year last year. Our legacy business in the first quarter is always small growth, there should not be extrapolated to expect that we would see our legacy business growing at that rate. Earlier this month, we announced that FeraMAX had been named the number one recommended iron supplement in Canada by both pharmacists and physicians and this was for the seventh consecutive year. This is based on independent third party research by media publications, pharmacy practice and medical post and their French correspond corresponding publications. And this is OTC counselling and recommendations of what doctors and pharmacists recommend to women, particularly women, mostly women, but all patients what their first recommendation is, with respect to an oral iron supplement. So we see this as a really strong foundation on which to continue to grow the FeraMAX brand and expand the FeraMAX product line to address the needs of iron health for Canadians. So FeraMAX Pd represents a new platform for FeraMAX product innovation. We have a lifecycle strategy that we have been talking about for some period of time, just to remind you that we launched FeraMAX Pd in October of 2020, so roughly a year and a half ago. And this is a new patented delivery system for polydextrose iron complex and unique compound in Canada. And we see this as a foundation for future product development. So shortly after the PDIC launch, we converted our FeraMAX 150 business to FeraMAX Pd therapeutic 150. That was done in November of 2020. And as I have communicated already that we've converted all of that business in nine or 10,000, pharmacies that stock that stock FeraMAX and, and supply patients and consumers on a daily basis across Canada. So that's happened. We came about a year later with FeraMAX Pd Powder 15 to replace the old FeraMAX Powder, that conversion on shelf has largely taken place. And we've been working on new products for introduction into Canada and to customers outside of Canada, for us in Canada to gain greater share of market and indeed expand the market. So we have a product that's been approved, and by Health Canada and is being prepared to launch in the fourth quarter of this year. We have additional products under the FeraMAX brand name that are in development and could see market in the future. So let's just talk about how that rolls forward into other growth drivers in addition to FeraMAX. So we have the Q4 launch for FeraMAX additional products and development. We're talking about late 2023 or early 2024 that to provide significant growth opportunities for the FeraMAX brand. We of course are in launch phase for Tibella which was launched in late July of 2020. We have launched Combogesic, the first formulation combining acetaminophen and ibuprofen and a fixed dose for pain relief in Canada. So our promotion started in Q1 of 2021. We have a new women's health product that we haven't spoken much about and I will be providing no detail on that today. That product is approved by Health Canada and we are preparing it for launch at the beginning of 2023. So all of these, these assets in totality provide us with significant fuel for growth into the future not just 2022 but 2023 and 2024 and indeed 2025. We have been investing in expanding our field sales force to promote these new products and in drive growth in some of our existing portfolio products. We've been investing in additional marketing resources. We have been engaging in product development investing for our lifecycle strategy on FeraMAX. And we have put more resources against in-licensing or acquiring new assets to drive growth in the future. So today we have more equivalent full time equivalent personnel working on business development. And in fact, in a company like ours, which does a fairly modest amount of product development, our key driver for the growth into the future beyond our existing portfolio is in-licensing or acquisition. So we are leaning into that we have been, it's an on-going continual process. We have a number of new assets that came into our business development funnel in the first quarter of this year. And we've already processed through a number of those, and some of them have already advanced to the term sheet stage of the process. So that that is something that we have not taken our foot off the accelerator, and we continue to focus on driving diversification of our portfolio. So let's take a look at our cash resources and return on equity. So in the 12 months ending, March 31, absolute at the end of March, we had $26.8 million in cash. In that 12-month period, ending we had a return on equity of 21%, which came from consistent and steady execution against our strategy. We have no long term debt in the business, working capital position strong. Over those 12 months, our cash generation was just under $5.5 million and we have been investing in buying back our shares under the NCIB program. I've got some comments on that in a couple of slides. We repurchased over the 12 months ending March 31, we purchased a little over 230,000 shares and cancelled them. And so the balance sheet is strong. It has been for some period of time. And I do get asked about our intentions and what our plan is around that that balance sheet. And in the way we look at it is that we link capital allocation to our strategy. I have commented in the last couple of quarters, that we refreshed our strategy for the period ending 2025. It is not dramatically from our strategic plan or our approach to business that preceded that. But we're really focused on growth and diversification of our portfolio. We see that as the way to ensure corporate longevity. And so our first use of capital is against revenue growth and portfolio diversification, though with $27 million in cash, no debt, and other access to financing when required, including debt financing for acquisition, for example. We think we've got a strong balance sheet. And we're well positioned in an environment where interest rates are rising. And some assets might come under pressure due to costs growing due to the uncertain business environment and the interest rate environment. So we see that as favorable to a company that has been patient with its capital. And looking for opportunities. I think it's also important to point out that that we need to maintain our discipline with respect to how we allocate the capital and what expectations we have on return on that capital. And as I've mentioned, we've been buying back shares, we will always look at as an option to return excess capital to shareholders. So when that definition quite simply is, do we have more capital than we need to drive our strategy, which is consistent long term double digit growth in our business. That introduces a good time to look at our NCIB. So we initiated buying back shares in December of 2018, roughly 3.5 years ago over that period of time. We have repurchased just over 1.9 million shares. That includes buying back 130,000 shares since January 1 of this year so that the NCIB program has continued. And I believe we were in the market as recently as last week buying back shares. Now our fully diluted has come down from just under 14.7 million shares to just over 12.8 million shares over that period of time. So 13% reduction in fully diluted. We've deployed just under $12 million in capital and buying back our shares at an average cost of $6.26, and one of in addition to looking at our intrinsic value, one of the other metrics that that we do look at is what is the impact of our share buybacks on our earnings per share. So if we look at our trailing 12-month earnings per share of $0.49, which I showed you a few slides ago, without our NCIB activity, our EPS would have been $0.43. So through this whole period of time, it's important to note that we are not buying back shares on the one hand, and diluting through share option grants on the other. And so we've been very judicious on how we deploy equity compensation within the company. We've not issued any new share options since the end of Q1 of 2019. So that's over three years. And we have added restricted share units as a vehicle to make sure that we have equity incentive compensation for management in the business. And we have been using our strong balance sheet to buy shares and hold them in trust. So in essence, our RSU commitment is going out literally going out the next three years, as I think 93% funded with shares that we already own. So a quick look at our cap table. Essentially, this reflects some of the puts and takes in our common shares issued. We've got RSU shares and trust. We have some shares outstanding, and some RSUs outstanding. So in total, fully diluted is 12.8 million. And we think that the balance sheet is strong that we've been treating shareholder capital with respect, and we continue to see opportunities in the market to grow our business. I haven't commented on the COVID environment. I just like to finish with a couple of comments there. No question we did have an impact at the beginning of this year, coming out of -- going into Omicron. And then coming into a sixth wave that has had an impact in the early part of the year, and January February, on our ability to meet with our customers face to face. And it did delay for us some moves that we have made with expanding our sales force. So that at this stage, as I record this presentation is in a much better place over the last six to eight weeks. We have had a high level of face to face interactions with our customers, doctors and pharmacists. We're not getting into hospitals at all. I don't think that activity hasn't returned to normal but really our growth assets are in the community doctor's office primarily in the pharmacy and we have good access now. So we're encouraged by that. We thank you for your continued interest in the company and we look forward to reporting to you how our business progresses through the balance of the year.
End of Q&A: